Operator: Good day and welcome to the CEVA Inc. Second Quarter 2024 Earnings Call. All participants will be in listen only mode. [Operator Instructions] After today's remarks, there will be an opportunity to ask questions. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Richard Kingston, Vice President of Market Intelligence, Investor and Public Relations. Please go ahead.
Richard Kingston: Thank you, Jason and good morning, everyone. Welcome to Ceva’s second quarter 2024 earnings conference call. Joining me today on the call are Amir Panush, Ceva, Chief Executive Officer and Yaniv Arieli, Chief Financial Officer of Ceva. Before handing over to Amir, I would like to remind everyone that today's discussion contains forward-looking statements that involve risks and uncertainties as well as assumptions that if they materialize or prove incorrect, could cause the results of Ceva to differ materially from those expressed or implied by such forward-looking statements and assumptions. Forward-looking statements include statements regarding our market positioning, strategy and growth opportunities, market trends and dynamics, expectations regarding demand for and benefits of our technologies, our expectations on financial goals and guidance regarding future performance and our plans and expectations regarding our recently filed registration statement on Form S3 and any potential future offering or capital raises and the use of proceeds there from. Ceva assumes no obligation to update any forward-looking statements or information which speak as of their respective dates. In addition, following the divestment of the Intrinsics business, financial results from Intrinsics were transitioned to a discontinued operation beginning in the third quarter of 2023 and all prior period financial results have been recast accordingly. We will also be discussing certain non-GAAP financial measures, which we believe provide a more meaningful analysis of our core operating results and comparison of quarterly results. A reconciliation of non-GAAP financial measures is included in the earnings release, which we issued this morning, and in the SEC filing section of our investor relations website at investors.Ceva-ip.com. With that said, I'd like to turn the call over to Amir now who will review our business performance for the quarter, review the year and provide some insight into our ongoing business. Amir.
Amir Panush: Thank you, Richard and good morning, everyone and thank you for joining us today. We are pleased to report an excellent second quarter that exceeded our estimates with strong licensing execution from our team worldwide, coupled with royalty growth driven by board market strengths in IoT and robust smartphone shipments. We also surpassed the milestones of 18 billion Ceva-powered Smart Edge devices shipped to date as our shipment volumes continue to accelerate rapidly in our IoT end markets. Our strategy to be focused on developing and licensing leading IPs that enable small edge devices to connect, sense and infer data is effective and highly synergistic with the growing adoption of AI across every industry. We are seeing more and more licensing deals that are driven by customer needs to incorporate more processing power, more sensing capabilities, more wireless connectivity options, and highly efficient NPUs to run AI workloads on device. No other IP company has the technology portfolio capable of addressing these three pillars required by every edge AI-enabled device, and we are fully focused on maximizing our leadership position and extracting better economics per deal as a result. Licensing revenue was up 28% year over year and our backlog heading into the third quarter is healthy, on the back of signing some very significant deals in the quarter. In particular, we signed new strategic agreements with two infrastructure OEM customers for their developments of custom silicon that will enable the infrastructure that is essential for the successful deployment of hybrid AI. The future path of AI inference needs to be hybrid with AI processing distributed between the cloud and edge devices with more and more influencing being performed on the end device for cost, security, privacy, and user experience reasons. Generative AI has accelerated these requirements, where GenAI developers and providers utilize multiple GenAI models using a mix of computing the cloud, data centers and on device, depending on latency, connectivity, availability, security and privacy requirements. The communications infrastructure that enables hybrid AI is constantly evolving to improve performance and ensure the experience is seamless. Our customers have repeatedly chosen us for the long-term roadmap due to our DSP leadership in compute efficiency and the value we created together in past platforms. The step up in performance we have delivered to these customers with our latest processor architecture has enabled us to extract more value per deal and will drive higher royalties per chip from the next generation product. Another notable licensing achievements in the quarter, we signed a strategic Bluetooth portfolio licensing deal with a top three U.S. semiconductor analog company that is expanding from sensing to connectivity and AI. This customer is adding connectivity capabilities across its product offering and consolidating their Bluetooth product roadmap around Ceva's IP going forward. We believe these customers have the potential to become a very high-volume shipper of our IP in future years. We have a significant royalty opportunity. This deal follows on from a deal with another U.S. leading MCO player late last year, where we license our Wi-Fi 6 IP for their MCUs. We continue to uncover new opportunities within the U.S. semiconductor industry across our entire portfolio of IPs. As we have stated previously, the U.S. market forms an important power of our growth strategy and this deals our clear indicators that our strategy for growth in the U.S. is achieving success. Overall, we signed 11 deals in the quarter addressing AI solutions for industrial and consumer edge AI devices, next generation wireless infrastructure to enable ubiquitous AI, 5G satellite, 5G RedCap and Bluetooth connectivity for wearables and hearables. Five of the deals were with OEMs and one deal was with a first-time customer. Now turning to royalties, both market strengths across our Smart Edge customer base, including strong global smartphone shipments, resulted in royalty revenue growing 5% sequentially and 19% year over year. Shipment volumes grew 24% year over year, driven predominantly by our customers taking more market share in Bluetooth, Wi-Fi, and cellular IoT in the growing industrial healthcare and consumer IoT end markets. Smartphone recovered well from Q1 and our large customer addressing the low- to mid-range market segment is expanding its customer base with new design wins at Vivo and Xiaomi amongst others. Also of note, we received the first royalties from our special audio collaboration with boat, India's number one hearables and wearables OEM. And one of our largest Bluetooth customers reported the first shipments of their new Wi-Fi 6 and Bluetooth 5 combo chip aimed at high volume Smart Edge devices, including TWS earphones, smart watches, smart glasses and smart hearing aids. Overall, the royalty momentum we are experiencing is underpinned by our strong licensing activities in the past three years. These customers are now starting to come to market with the latest chips powered by our IP, expanding our customer base across end markets. This will continue to be a strong tailwind for our royalty business for years to come, and we continue to partner closely with our customers to ensure they successfully reach the market with their increasingly intelligent and connected product. Now taking a step back, it has becoming abundantly clear that AI is a key factor in driving our business both directly and indirectly. As we have stated previously, there is no AI without sensing or connectivity. Every Smart Edge device requires sensing to take data from its surroundings to which AI is then applied in order to inform decisions and each of these devices needs to be connected to transfer this data to other devices, to the cloud or to the network. These three use cases are inextricably linked and provide incredible opportunities for Ceva to grow and flourish. During the second quarter, we launched two new IP products, that continue our AI and connectivity momentum. The first of this relates to AI for IoT devices. AI is increasingly finding its way into every device, no matter how small or power constrained. TinyML is the field of machine learning that will bring AI inferencing to billions of devices in the coming years and represents a huge opportunity in AI beyond the cloud, which most of us are familiar with today. In fact, ABI Research forecast the TinyML shipments in IoT devices are set to grow at a CAGR of 48% throughout the rest of the decade to reach almost 3.65 billion by 2030, all running on the device. In order for this market to reach its potential. Specialized Neural Processor units or NPUs are required to run the TinyML networks in many of these devices in a power and cost-efficient manner. Leveraging our vast experience in AI, low power processing, and the ability to handle sensing workloads. In parallel, we introduce a new NPU called NeuPro-Nano during the quarter. This NPU, which is the first fully programmable NPU to efficiently execute any complete end to end application with an optimal balance of power, performance, and area, thanks to innovative features like Ceva NetSqueeze, which significantly reduces the memory footprint required for AI in this IoT devices. This ensures NeuPro-Nano fits the market requirements for TinyML based AI workloads. From factory maintenance to consumer audio enhancements and appeals to our board customer base as they begin to plan to incorporate AI in their next generation products. NeuPro-Nano is currently in evaluation with customers and we expect the first licensing deal to close this year and first products in the market as soon as 2026. This is a significant opportunity for us to cross-sell this NPU into our existence customer base, where we already commend leadership and our trusted partner to more than 100 customers today. We believe that this area of AI is an untapped market and that we have the right solution to fully exploit this opportunity. The second significant product launch in the quarter is Ceva-Waves Links, a new multi-protocol solution for wireless connectivity. The Ceva-Waves Link 110, which is the first of link series, is already in and integration with a lead OEM customer. Increasingly, devices require more than one wireless connectivity standard to get the best performance and enable all the features required. Our broad customer base of Bluetooth, Wi-Fi and UWB customers increasingly are looking to license additional IPs from us and integrate them together in a single chip. Be it Bluetooth and Wi-Fi combo for smart home connectivity or Bluetooth and UWB for digital car keys, in our opinion, there is no other IP company capable of delivering this multi standard wireless solutions. Waves make this even easier for our customers and allows us to provide more IP per deal, leading to higher value per deal through license fees and royalties. In closing, I would like to take this opportunity to thank our teams for strong execution this quarter, and to our customers and partners for putting their trust with us. Together, we are bringing more and more Ceva-power devices to market. My belief in our people and technology grows every day and the potential of our company is unlimited in the AI era. We have the right strategy to capitalize on our unique capabilities, and we are laser focused on our execution. We fully expect to deliver on our stated financial and business target for the year and are committed to ensuring everyone sees and understands the value that Ceva brings as an AI focused company through our Smart Edge connect, sense and infer value proposition. All of this in turn will unlock and create more shareholder value. Now, I will turn the call over to Yaniv for the financial.
Yaniv Arieli: Thank you, Amir. I'll start by reviewing the results of our operation for the second quarter of 2024. Revenue for the second quarter was $28.4 million, up 24% compared to $22.9 million for the same quarter last year. The revenue breakdown is as follows. Licensing and related revenue was $17.3 million, reflecting 61% of our total revenue significantly increased 28% year over year and 51% sequential. Royalty revenue was $11.2 million, reflecting 39% of our total revenue increased 19% year over year and 5% sequentially. Gross margins came better than our guidance 90% of GAAP and 91% of non-GAAP basis compared to 85% and 86% on GAAP and non-GAAP basis respectively a year ago. Total GAAP operating expenses for the second quarter were $25.5 million and the higher end of our guidance due mainly to higher sales commission and employee related benefits. Total non-GAAP operating expenses for the second quarter, excluding equity-based compensation expenses, amortization of intangibles and related acquisition costs were $21.4 million just above the higher end of our guidance for the same reasons I just mentioned. Non-GAAP operating margins and net income were 15% of revenue and $4.4 million higher than the negative operating margin of 4% and operating loss of $0.8 million recorded for the first quarter of 2024 and a negative operating margin of 5% and operating loss of $1.1 million recorded in the second quarter of 2023 respectively. GAAP operating loss for the second quarter of ‘24 was $35,000 as compared to a GAAP operating loss of $5.3 million for the same period in 2023. GAAP and non-GAAP taxes were $1.6 million in line with our guidance and affected by geography of deals signed. GAAP net loss for the second quarter was $0.3 million and diluted loss per share was $0.01 as compared to a net loss of $4.9 million and diluted loss per share of $0.21 for the same period last year. Non-GAAP net income and diluted EPS for the second quarter of 2024 increased significantly to $4.2 million and $0.17 respectively as compared to a net loss of $0.5 million and diluted loss per share of $0.02 reported for the same period last year. With respect to other related data, shipped units by Ceva licensees during the second quarter of 2024 were 461 million units, up 24% from the second quarter 2023 reported shipments. Of the 461 million units reported, 79 million or 17% were for mobile handset motives. 353 million units were for consumer IoT device markets up 28% from 276 million units in the second quarter of 2023. 28 million units were for industrial IoT markets doubled from 14 million in the second quarter of 2023. Bluetooth shipments were 266 million units this quarter up 26% year over year. Cellular IoT shipments were 40 million units, up 92% year over year, and our Wi-Fi shipments were 35 million units up 21% year over year overall and strong quarter across all our end markets, and the third consecutive quarter of year over year royalty revenue growth. As for the balance sheet items. As of December 30, 2024, Ceva’s cash, cash marketable balances, and the cash securities and bank deposit were approximately $158 million. In the second quarter of 2024, we purchased approximately 100,000 shares for approximately $2 million, and as of today, around 553,000 shares are available for repurchase under the repurchase program as expanded in November of last year. Our DSOs for the second quarter is 59 days, same as the first quarter. During the second quarter, we generated $2.4 million of cash from operating activities. Ongoing in depreciation was $1 million and purchase of fixed assets was 0.6 million. At the end of the second quarter, our head count was 434 people of which 359 are engineers. Also, this morning, we filed a universal shelf registration statement on Form S3 with the SEC, which, if and when declared effective will permit Ceva to offer and sell from time to time in one or more offerings up to $150 million of common stock, preferred stock, debt securities, warrants, or any combination of these securities. We believe that having an S-3 on file is good corporate housekeeping and will provide us with a tool to further enhance our financial flexibility and opportunistically access additional capital to fund acquisition or other businesses opportunities or strategic initiatives should they arise. At present, we do not have any impending transactions that would require us to draw down the shelf. If we decide to raise capital in the future offering using the shelf registration statement, Ceva will describe the specific details of that future offering in a perspective supplement that is filed with the SEC. Now, for the guidance for the third quarter and 2024 overall. Our annual growth plans progress well, and we are working hard to achieve even better results than originally forecasted. As Amir stated earlier, we have a healthy pipeline of potential deal flow for a wide range of technologies and markets, and as such, we expect overall revenues for the year to be at the mid to high end of our 4% to 8% guidance. Coupled with our cost control measures and focus and we are within reach to more than doubling our non-GAAP operating margins and profits for 2024 over 2023, and close to doubling are non-GAAP fully diluted EPS, which is higher than originally forecasted. Specifically for the third quarter, total revenue is expected to be in the range of $26 million to $28 million. Gross margin is expected to be similar to the second quarter, approximately 90% on GAAP basis, and 91% on non-GAAP basis, excluding an aggregate $0.2 million of equity-based compensation expenses and $0.1 million amortization of acquired intangibles. Our GAAP OpEx is expected to be in the range of $24.8 million to $25.8 million in line with our annual plans. Of the anticipated total operating expenses for the third quarter, $3.9 million is expected to be attributed to equity-based compensation expenses and $0.3 million for the amortization of acquired intangibles and $0.2 million expenses associated with the business acquisition. Our non-GAAP OpEx is expectedly similar to the second quarter and in the range of $20.7 million to $21.7 million. Net interest income is expected to be approximately $1.2 million. Taxes are expected to be approximately $1.9 million, and our share count is expected to be approximately $25.3 million shares. Jason, we could open the Q&A session.
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] Our first question comes from Matt Ramsay from TD Cowen. Please go ahead.
Matt Ramsay: Thank you very much. Guys, I wanted to, maybe Amir, you could spend a little bit of time, you did more in the script today about some new technologies that your company is rolling out and it seems like just starting to license broadly. And I wanted to ask a little bit about wavelength, and maybe you could spend a little bit more time talking about it. It seems like this is Bluetooth, Wi-Fi and UWB multimodal stuff. What -- was this a customer or broad base customer ask for you to do multimodality? Does it include any potential to do sort of mesh technologies on top of things that might communicate one-to-one? I know there's some markets in IoT where there's demand for either Bluetooth or Wi-Fi to hook into commercial devices, and then there's mesh networks to connect nodes together. UWB is one technology, but I wondered if you had anything that was more of a mesh networking technology that would be in that roadmap longer term?
Amir Panush: Yes, thanks a lot Matt. So, I would start with definitely, we already entrenched very, very heavily with Wi-Fi, Bluetooth and more recently in the last year or more with UWB. So, definitely we already have a leadership position with each of the technologies. As we engage deeper and deeper with our customer base, what we definitely see is the need for a multi-protocol IPs. And early on, some of those customers basically licensees just want technology then they added other technologies from us. But still, lots of the integration, the combination of that IP where for the customers to go and handle and manage and the link solution actually brings that combination already so-called prequalified and preoptimized as such that the customer has much easier integration and faster deployment of combined technologies in IP. Also, as we do that, we provide them enhanced performance because software we control each technology and the combination of them using similar spectrum or the same spectrum. And so overall at the end of day, it brings them both a time to market advantage as well as performance advantage. Now, on top of that, we -- historically, what we have done very successfully, in addition to the silicon IP, we provide the complete software stack for like Bluetooth, Wi-Fi and so on, and more recently for UWB. So definitely that comes into play as well as the overall links proposal as that expand. And for your specific question on the mesh networking, we definitely have assets and capabilities, and this is another path for us to increase at end day the value of what we offer and the economics of the deals as we work with the leaders out in the marketplace. The link specifically is actually that combination, the first one, the 110 links is already available and we have already a customer that license and actually go through the complete integration. So, we are very advanced in terms of the availability of these combined technologies.
Matt Ramsay: I guess my follow-up question any of you guys -- sounds pretty encouraging for trends going forward. And obviously with the results you printed and the guidance here a pretty big upside in the printed quarter. But I was surprised that you didn't bump up the annual by more than that. Are there things being you feel like licensing deals that might've been pulled forward out of Q4? I was just surprised given the momentum that the annual didn't go up a bit more. So just trying to understand the shape of the year.
Yaniv Arieli: We had a plan the beginning of the year, which was a growth year, both top line and specifically doubling or the operating margins and then quite significant EPS growth plans. We are tweaking it the higher, both on the upper on the top line with the mid to high range guidance. We think that the operating leverage and margins could be probably better than twice 2023. And obviously that will implement and we said almost double and $0.18 CPS that we talked about or we recorded last year. We're not there yet, but that's the plan. So, in our line of business, the operating level is a much, much faster way to look at the Company and to understand the IP opportunities and the profitability opportunities for an IP company. And I think that's what we are highlighting today. That was the original plan for the year, but it is and does seem better today after posting a very strong second quarter. And if you look at the different momentums, if you look at the royalties the first half compared to prior year, we're up across all the industry and all the markets that we operate in, probably volume 25% or so in the first half of the year. So, and you said the economics are there for extra posting and then a good year, but of course we want to take it one step at a time and see how the second half plays out. So, Amir, if you want to.
Amir Panush: I would say overall, as we look at Q1 and Q2 combined as the first half, so first half came stronger, that’s not we expected, and we are very encouraged with the delivery of both the licensing as well as the royalty. If we compare the royalty first half of ‘24 versus ‘23, definitely we see a stronger market condition as well as really great execution of our customers, our customer base and the ramp of our new technologies. As we look into the second half overall, with that projection, we are looking second half that is stronger than the first half we have that we, so looking at the mid to high targets of our revenue range, much more so, or more portability than previously focused at the bottom line for the second half of the complete year. So, altogether, we believe we're in a good condition. We're very encouraged with the results of Q2. We're encouraged with the backlog and the deals that we see for Q3 coming. We're executing to our plan. That's really what it is.
Operator: Our next question comes from Kevin Cassidy from Rosenblatt Securities. Please go ahead.
Kevin Cassidy: Yes, thanks for taking my question, and yes, congratulations on the progress. I'm just wondering on the Wi-Fi shipments that you're having right now is, how's that split up by generation? You know, I guess I'm looking for is, do we still have the higher priced Wi-Fi 6 and Wi-Fi 7 to come in the royalty line?
Yaniv Arieli: Yes, we don't provide a specific breakdown, but still the majority of that volume or significant portion of that volume is Wi-Fi 4. So definitely we have a significant upside coming in the coming year and two and beyond that in terms of royalties for Wi-Fi and in terms of Wi-Fi 6, and then after that Wi-Fi 7, also previously in the previous earning calls we mentioned that today, it's so-called client or station Wi-Fi. And we'll also have the uplift coming with access points coming to market, so called Wi-Fi access points that will lift also the overall royalty and average royalty per unit.
Amir Panush: I would also say, that enhances -- we're also seeing an interesting trend of more 5G phones that our customers are powering compared to past years. And that also, as usual has a higher ASP. So that's also a nice contributor on royalties going forward.
Yaniv Arieli: Yes, this is a very encouraging side that we've seen this quarter with our lead customers launching one and more the phones in the market using 5G technology, empowered also with our technology.
Kevin Cassidy: Okay, great. And yes, going back, wavelength also, is that will that all be Wi-Fi 6 and Wi-Fi 7, MAYBE that's an obvious question, but I just want to make sure that, that this is all going to be leading edge or does anybody need to go back for maybe lower price or smaller die size?
Amir Panush: It's really Wi-Fi 6 and beyond, Kevin. Yes.
Operator: Our next question is a follow -- excuse me, it comes from Chris Reimer from Barclays. Please go ahead.
Chris Reimer: I was wondering, if you could return to your comments around the profitability. What kind of items are driving that aside from the higher revenues? And how sustainable is that...
Yaniv Arieli: When Amir joined a year ago, when we build our plans and presented them in Analyst Day last December, one of the key factor is in any IP company, but especially for Ceva was to handle the expenses differently than we have in the past. And we refocus some of the R&D efforts and product lines that were not necessarily that profitable that did not have the right ROI. And by managing the expenses and the R&D investments to some and to some degree we are talking about pretty flattish overall expenses of the Company for 2024 over 2023, and then as you said, with higher revenue in top line and fixed amount of expenses. But those investments did come out and present new technologies like we talked about in the prepared remarks of AI and the connectivity technologies. So, we're still innovating and we're still coming up with new solutions, but the combination of higher revenues with the less expense increases or flat expenses are causing the overall improvements in both the operating level and the bottom line.
Amir Panush: And Chris, that's expectation as we go to the second half as well. Overall, we have the right talent capabilities and the right investment in the places that we want to invest and basically supporting the product line today and the roadmap. So, I'm confident that we can control the expenses and keep it to the track of what we put together.
Chris Reimer: And maybe just one on competition. You called out some areas where Ceva is the only -- has the only ability in the connectivity. How would you say Ceva is placed from a competitive position right now in terms of versus like a year ago or two years ago?
Yaniv Arieli: I think overall the strength of our wireless connectivity portfolio and access in the markets, coupled with the sense and the infer capabilities, we are uniquely positioned from a competitive landscape. That doesn't mean that we don't have competitors for each of the specific IPs, but overall, from portfolio and specifically in wireless connectivity, a complete offering across the different technologies with the scale, and we have position very well.
Operator: The next question comes from Suji Desilva from Roth Capital. Please go ahead.
Suji Desilva: Congrats on the progress here. So, the hybrid AI edge compute platform, can you give us a sense of what's driving your customers to develop in-house IP custom silicon versus the merchant solutions that are available in the marketplace?
Amir Panush: When you look at what is out there, many of our customers, what they see is that they need a better or different type of trade off between the performance, the KPIs, and feature sets as well as the cost structure to fit the specific IP that they need into their device. So yes, they can go and buy so-called off-the-shelf solutions, but to the most part that doesn't really, so-called fit the build of what they need to go and build, and that's where they approach us and we have an IP that as we discussed about new plan a few quarters back. And now we've nano, we are building that to be a very scalable in terms of capability so our customers can work with us and so called, not necessarily customize that, but really set the capabilities of our technology and the different building blocks such that it will fit at the exact builds of what they want to go and build. And that flexibility and the right fit to what they want to go and get out as their product differentiation is not something that they can do off-the-shelf. The other thing is in terms of lower cost of getting access to the technology when they go and build it on their own and use their own so-called volume capabilities, and access to different suppliers that can give us also different flexibility and lowering the cost of ownership.
Suji Desilva: Okay. All right. Thanks Amir. And then my other questions on the link product, the connectivity product, is that traction today with smartphone OEMs or are you seeing opportunity in non- smartphone OEMs? Curious where the opportunity today in the pipeline is for that product.
Yaniv Arieli: It's significantly across, so-called the border IOT and all the different devices that we talked about where we have our Bluetooth technology, our Wi-Fi technology and that's where we see lots of interest and already licensing deals as well as future potential. So, if you talk about all the different kinds of hearable wearable devices, industrial IOT, all the smart-connected devices around us, outside handsets and tablets, more and more of those devices, they need multi-protocol support even for audio and those type of use cases. But it needs to be extremely power and cost efficient when you provide it, combine IP together, it can become much more cost and power efficient as well as again, time to market for our customers.
Operator: The next question comes from Martin Yang from Oppenheimer. Please go ahead.
Martin Yang: Hi. Can you hear you. Thanks. To continue the question, I want to maybe highlight the one of the licensing wins you referenced on the call, you leading the semi company. Historically, your licensing as well as royalty always weighed heavily towards APAC. Are you taking incrementally seeing incrementally stronger activity from U.S.-based customers for both licensing and royalty? And in, how do you think about resource allocation, if you are seeing the U.S. customers getting more active?
Amir Panush: Yes, that's a very good question. And actually, this tied very well to the other question that I got specifically on the links product line, on the AI product line as well as I would add one communication related to satellites. This technology and the way that we enhance our products offering and roadmap actually resonates more and more and fits very well to the, so-called the large U.S. semiconductor companies where they need either more than one so-called wireless protocol and that combination is really what they're looking for. And then, we see more potential for our business in the U.S. And with that also, we see the actual momentum there as well as the wireless communication for satellites and those types of markets that are expanding in the different regions and very, very specifically in the US. And last but not least, with that transition from algo-based to running AI, the edge, running the neural networks for all the different use cases from TinyML to the more sophisticated ADAS and other large language models running on the edge or the hybrid AI. And this is exactly where the semiconductor industry in the U.S. is heading, and we are coming with a very good fit of our IT. So, I think we are serving better those types of customers from execution and access as well as the product offering that we have. And that we will see a continuous strength of further strength of our business in the U.S. From resource allocation and support, of course, as we see that the business growing. We will address it to make sure that we are continuing our momentum, positive momentum. But overall, with the larger umbrella of expenses, as I mentioned. And we definitely expect to control our expenses to the plan that we have and we are tracking that and executing to that plan very nicely.
Martin Yang: Another question on smartphones. Can you give us your updated view of your outlook for smartphone for the year? Are you getting maybe a little incrementally more optimistic? Or what's your general view on the market and your exposure?
Yaniv Arieli: Yes, I would say overall first smartphone, if you compare 2024 versus 2023 is in a healthier condition after significant inventory correction. So-called, got cleared, not all the way but to a high degree. And so, we expect 2024 to perform better than 2023 in terms of smartphone demand and specifically our customers in the low mid-range, is healthy and doing quite well. And we are supporting them and happy with that success. And on top of that, as we mentioned the transition that the customer is moving to 5G with more success, their success in the marketplace, launching funds based on 5G technology will probably drive additional tailwind for us as we go further into ‘25 and beyond. And so overall, it's healthier condition for smartphone. We expect overall that our smartphone business in ‘24 will do better than 2023. But it's also not to the hype of what or the volume that we saw at the peak of the COVID time, but it's much better than 2023.
Operator: The next question comes from David O'Connor from BNP Paribas.
David O'Connor: Just one quick one on my side. Amir, just going back to the NeuPro-Nano, what does the competitive landscape look like for NeuPro-Nano? And are you guys a lot more bullish on the Nano version now than the kind of previous new pro IPs you offered? And if you can just give us an update on where we stand on those existing new pro IP that you licensed.
Yaniv Arieli: First, specifically for Nano, we are uniquely positioned in terms of the offering that we have with Nano where basically we are taking our strong capabilities understanding of DSP and how to run, so-called pre-post processing of the different algorithms that are needed coupled with the need to run efficiency neural networks or AI at the edge. We combine those two capabilities and basically into one single IP, and that's where we have unique proposal and opportunities in the marketplace. In terms of the competitive landscape, I would say you have the traditional, so-called DSP offering there, you have the traditional or the more recent, very targeted and tweaked so-called accelerators. We are taking a different approach of combining the two and providing very high capability as well as different type of functionalities. So, we see very good demand and interest in this technology as we just launched it about a few weeks ago. In terms of this versus the higher end of our portfolio NeuPro, and I wouldn't say it is one that is better than the other. It's really the having a comprehensive portfolio where we can offer to the same customers with the same software stocks and the basically the underlying, so-called silicon IP across all the product line. If we look at the different, so-called MCU companies out there and companies that provide a comprehensive AI processing capabilities they needed across their complete segments, product segments and tiers. And that's where we're really looking to fit that in. From nano to TinyML all the way to the high-end LLMs that are needed,
Amir Panush: Maybe would add one thing that the nano is the new market that we're targeting. So, for us, it's not just a different technology that we came up with and increasing our offering, but it is completely new market opportunities for much smaller devices and use cases. So, for us, it's an add-on and a lot of our connectivity customers that have to be Bluetooth, Wi-Fi, maybe cellular in the future can use and take advantage of this new product line, with the nano for their specific needs and the new products. So, that's also an interesting angle to understand that we're now faculty, not just the mainstream, but also a much bigger opportunity for smaller devices.
Operator: The next question comes from Gus Richard from Northland. Please go ahead.
Gus Richard: Yes, thanks for taking the questions. Congratulations on the strong results. On the NeuPro-Nano, where does the software stack stand? And, is it -- are you developing, your customers developing it? If you're supplying it, are you going to be able to monetize it if you just -- and is it a limiter to getting designs into the market?
Yaniv Arieli: Yes, we definitely provide a software stack to be able to run the different, so-called neural network or the models that are needed as part of the TinyML ecosystem. And having said that, we have customers that, of course, they want to tune it, customize that, have their own capabilities, and we have a business model where we are flexible and support the customers based on their need. And we see it's actually very successful in the marketplace in terms of the access that our customer can get. They have a starting point that is to the most part complete and they can go launch their products, but if they want to add marketability on top of the customize that we support it as well.
Gus Richard: Got it. That's helpful. And then on the wavelength, you know, the difficulty in wireless is sometimes the transceiver and you're doing multi-protocols, you know, can you talk about how that's supported for your customers? Is that an external chip? Are you -- do you have transceiver partners? And just a little bit of color around that part of the solution for your customers?
Yaniv Arieli: So, the way that we work with customers, as I mentioned also with the software stack, we provide them the flexibility. We have partners that they can offer the, so-called transceiver or the radio technology, and then combine as a pretested solution. We offer that to our customers as well as they can get a more comprehensive access from us to work with them based on their needs.
Gus Richard: And again, is there some customization depending on what transceiver is being used or is a standard IP block that can work with any customers transceiver?
Yaniv Arieli: As you go more to the so-called the radio or the [indiscernible] definitely there is a someone more adjustment that needs to be made for the specific process node or geometry or technology that the customer is using. But to the most part, as we look into this technology and the combination for the different market segments, there is a mainstream type of a process node that would make sense to our customers and can be both power and cost efficient to be competitive in the marketplace. And as we come with those, that capabilities and offering as an IP company, we're always looking for basically towards the future and offering the technology that can be very competitive for our customer base. So, with that, we have so-called a predefined access, and then if the customer needs more than that, we can support.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Richard Kingston for any closing remarks.
Richard Kingston: Thank you, Jason. And thank you everyone for joining us today and for your continued interest in Ceva. As a reminder, the prepared remarks for this conference call are filed as an exhibit to the current report on 8-K and accessible through the Investors section of our website. With regards to upcoming events, we will be participating in the following conferences: Oppenheimer 27th Annual Technology, Internet & Communications Conference, August 12th to 14th virtually; the 5th Annual Needham Semiconductor and SemiCap Virtual Conference, August 21st, 22nd; Jefferies Semiconductor IT Hardware & Communications Technology Summit, August 28th in Chicago; and Jefferies, Israel Tech Trek 2024 Conference, September 10th to 12th in Tel Aviv, Israel. Further information on these events and all events we will be participating in can be found on the investor section of our website. Thank you. That concludes the call. Thank you and goodbye.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.